Per Plotnikof: Hello, everyone, and welcome to this presentation of ALK's Q1 results and full year outlook for 2025. Thank you all for joining us, and let's turn to Slide #2 with an introduction to speakers. My name is Per Plotnikof. I'm Head of Investor Relations. And with me today are CEO, Peter Halling; and CFO, Claus Steensen Solje. We'll first be sharing a few highlights from the quarter, followed by a closer look at the markets, product trends and financials. And we will then provide an update on recent progresses on our pediatric agenda and on the neffy partnership before we move to the full year outlook. As usual, we will end the presentation with a Q&A session. And to get started, I'll hand over to Peter on Slide #3 for the highlights. Please go ahead, Peter.
Peter Halling: Thank you, Per, and thank you all for joining today's call. As expected, Q1 results were solid. Revenue grew by 12% to DKK 1.5 billion. Moreover, all sales regions had double-digit growth, and we were pleased to see sales in North America bounce back with 14% growth as we started to see results from initiatives to get this region back on track. Across regions, tablets stood out as the main contributor to growth. Global tablet sales increased by 22% and growth was predominantly driven by higher volumes and shipments to our partner, Torii in Japan. We only had a minor effect from pricing adjustments compared to last year where improved pricing and rebate adjustments delivered half the growth in our main region, Europe. Within the tablet range, the house dust mite tablet, ACARIZAX performed very well across markets in Europe and North America. The tablets new pediatric indication contributed to growth and the initial market response to the launch has been very encouraging. We are determined to achieve the good results with our tree tablets for young children and adolescents as well. Earnings improved by 50% in local currencies to DKK 469 million, yielding an EBIT margin of 31%. The strong progress was also made feasible by last year's execution of optimization and prioritization initiatives, which are generating savings of plus DKK 300 million in '25. Savings that allow us to pursue strategic priorities more rigorously without jeopardizing earnings improvement. Claus will elaborate on these results later. So ALK was off to a solid start in this year, and we remain optimistic about the year ahead despite the current turmoil in the markets from trade and tariff wars, which we believe will only have a modest impact on ALK. Accordingly, we maintain the full year outlook. We will detail this further during the presentation. But first, I'll hand it over to you, Claus, and the market trends on Slide 4.
Claus Solje: Thanks, Peter. Let's dive into the performance in our three sales regions. Our main region, Europe reported 10% growth, driven by double-digit growth in several key markets, including the two largest European markets, Germany and France. Tablets remain the #1 source of growth. Tablet sales increased by 17% on high single or double-digit growth in all markets, except in those where we downsized the sales organizations last year. Volume growth was roughly in line with last year, while there was a reduced impact from price and rebate adjustments. The intake of new tablet patients during the 2024 and '25 initiation season exceeded last year's numbers by more than 10%. We continue to mobilize patients digitally and strengthen advocacy for the evidence-based tablet portfolio. The number of consumer touch points and the number of confirmed doctor visits in Q1 was ahead of targets, driven by increased investments in digital activities aiming at driving suitable patients to see a doctor. Combined sales of SCIT and SLIT-drops grew by 3%. SLIT-drops sales increased, while SCIT sales decreased slightly, partly due to fewer-than-expected new patients, partly due to a reduced impact from price and rebate adjustments. Sales of other products was up 1%. Revenue in North America increased by 14%. The tablet-focused business in Canada continued to deliver solid growth, while the U.S. business recovered from last year's stagnancy and reported double-digit growth. All product lines progressed in the U.S.A. after we launched a number of initiatives to strengthen sales growth. Tablet sales in the region increased by 22%. SCIT bulk sales grew by 3%, while sales of other products increased by 20%.Revenue in international market was up 24% despite no SCIT product shipments to China. Tablet revenue grew by 41%, driven by phasing of shipments to Japan. Our partner, Torii is on track with a doubling of the API manufacturing capacity, which is expected to come on stream during the second half of the year, allowing Torii to incrementally increase market supply of CEDARCURE in the fall. Higher tablet revenue was also reported in Southeast Asia, the Middle East and India, where our partner, Dr. Reddy's launched ACARIZAX in April. Conversely, SCIT revenue in international market decreased by 85% as no products were shipped to China. After the recent renewal of ALK's import license, we plan to resume shipments to China from Q2 and onwards. In-market sales in China grew by double digit in Q1 based on existing wholesaler inventories. Let's now turn to the product lines on Slide 5. Tablet revenue was up 22%, driven by double-digit growth in all sales regions. Revenue from SCIT and SLIT-drops was unchanged, reflecting the slight decline in European SCIT sales and the absence of shipments to China. These factors were offset by growing SLIT-drop sales in Europe and increasing SCIT bulk sales in North America. Global revenue from other products increased by 11%. Sales of life science products such as vials and multi-test devices recovered from last year's phaseout of a major low-margin account in the U.S.A. as we upgraded the sales organization and focused on winning new accounts. The pre-planned products also did well in the U.S. Unfortunately, Jext sales in Europe were temporarily affected by lower replacement rates for adrenaline pens in the U.K. and other markets. With these updates, let's move to Slide 6 and the financial results. Revenue was up 12% in local currencies and exceeded DKK 1.5 billion. Top- line growth mainly reflected the progresses in tablet sales. The gross profit of DKK 1 billion yielded a gross margin of 67%, an improvement of 1 percentage point. Increase mirrored volume growth, changes to the sales mix and various production efficiencies, including reduced scrapping. Capacity costs decreased by 5% to DKK 547 million. The decrease was enabled by last year's optimizations and prioritization activities initiatives when we downsized operations in certain markets with limited immediate growth prospects. R&D expenses were flat, while sales and marketing as well as administration costs declined, so that the overall capacity cost to revenue ratio declined by 6 percentage points to 36%. The operating profit EBIT was up 50% to DKK 469 million, fueled by higher sales, gross margin improvements and lower capacity costs following last year's optimization activities. The EBIT margin increased from 23% to 31%. But looking at this level, please bear in mind that Q1 historically is our most profitable quarter. Free cash flow almost tripled to DKK 330 million as higher earnings offset planned changes in working capital and additional investments to build up tablet production and upgrade legacy production. The net debt-to-EBITDA ratio is low and the effect of the DKK 1 billion net upfront payment to ARS Pharma back in November '24 is already being washed out of our numbers, indicating that our balance sheet is getting increasingly stronger. So all in all, yet another strong set of results. And with this, now back to Peter and a strategy update on Slide 7.
Peter Halling: Thanks, Claus. The quarterly report provided a detailed account of the execution of the Allergy+ strategy. So I'll focus on the big picture before I get into the details with the pediatric rollout and the neffy rollout. Headline-wise, we saw strategic progress across all disease areas in Q1. In respiratory allergy, the house dust mite tablets and the tree tablets were approved for use in children and the initial launch of the house dust mite tablet exceeds expectations even though the revenue contribution is still limited. Geographic expansion continued in Japan, India and the U.K., while we continue to advance preparations for the bridging trial for ACARIZAX in China. The bridging trial is designed to deliver the clinical data needed to obtain an approval in China, and the trial is expected to start in Q3 this year, subject to regulatory approval. Moving to anaphylaxis. Market access negotiations and launch preparations for neffy proceeded as planned in existing markets. And our partnership with ARS Pharma was expanded to include a promotion agreement in the U.S.A. I'll detail this in a couple of minutes. In food allergy, we advanced the peanut allergy program into Phase II for dose finding and efficacy. First patients have started treatment, and we expect to report top line data from this trial in 2026. In the wider allergy space, our partner, ARS Pharma, is initiating a Phase IIb trial to investigate neffy's efficacy in treatment of acute flares in patients with chronic spontaneous urticaria. This trial is also expected to report top line data next year. The agreement with ARS Pharma grants ALK exclusive rights to this and any other new indications within the licensed territories. And finally, efforts are progressing in other adjacent disease areas with strong scientific and commercial links to our existing products and sales channels. We are pursuing these opportunities both through in-house innovation and business development activities. Slide 8, please. A key event, obviously, is the ongoing launches of our house dust mite tablet ACARIZAX for children after the approvals by European and North American authorities. Today, the house dust mite tablet has become available for children in nine markets served directly by ALK, namely the U.S., Canada and 7 EU countries, including Germany. Moreover, also three Southeast Asian markets served by our partner, Abbott. The initial uptake exceeds expectations in the market served by ALK, more than 1,000 prescribers were confirmed to have initiated children on treatment with ALK's tablets. The prescribers include a variety of medical specialists, including allergists, pediatricians and other specialists. The initial market response is very encouraging. And although it's still early days, the feedback supports our belief in the Pediatric segment as an important growth driver for ALK going forward. We will continue to increase disease awareness amongst parents and other caregivers to help them take action, and we will continue to expand prescriber networks in current markets while we get ready to launch in additional markets. Market access negotiations on reimbursement and pricing are well underway in other countries covered by the EU approval, and we also filed for approval in countries outside of the EU and North America. Then only two weeks ago, our tree tablet, ITULAZAX, was also approved for treatment of young children and adolescents in Europe. First market introductions are expected in the coming months ahead of the pollen initiation season. With this last approval, all our tablets are now approved for all age groups in key markets. We expect the complete portfolio for all ages to attract more patients and open doors to new prescribers, an important catalyst for ALK's long-term growth. Slide 9, please. So let's move to anaphylaxis and our efforts to commercialize neffy, the first and only approved nasal spray for emergency treatment of acute allergic reactions. Market access negotiations progress as planned in EU countries, and we continue to target a price premium relative to existing adrenaline pens. First price listings are imminent. Besides securing market access in key EU markets, focus is on getting regulatory approvals for the 2-milligram dose in the U.K. and Canada, both major anaphylaxis markets and then succeeding with our first launches. To do so, we'll combine our sales force activities with our digital patient platforms, which have proven to be valuable in working with the AIT markets and tablets. We've also submitted an application to expand the EU approval of neffy to include small children aged 4 years and older and weighing 15 to 30 kilos. This is the 1 milligram dose. The outcome is expected in the first half of '26. We expect to start launching neffy from Q3 onwards. Focus initially is on Germany, the U.K. and other Northern and Central European markets. Moreover, we expect launching in Canada around the new year. Neffy is a key enabler to ALK's success in anaphylaxis, a product with the potential to transform and significantly expand markets. We are also excited about the most recent addition to our partnership with ARS Pharma, which was announced late last week, a 4-year cooperation and co-promotion agreement on neffy, where we are targeting up to 9,000 U.S. pediatricians. This deal will accelerate the buildup of our U.S. pediatric sales channel in a balanced way and strengthen our capabilities in the U.S. allergy market. In the medium term, we expect the new agreement to provide attractive synergies to our respiratory allergy tablets while also preparing the ALK for the expected entry into food allergy with our peanut tablet. We will build a dedicated pediatric sales force of around 60 people, while at the same time, keep our focus on tablets unchanged. ARS Pharma will compensate ALK for most of the direct costs related to running this dedicated sales force. ALK will also be eligible for a performance-based share of the revenue generated from the targeted pediatricians, subject to fulfillment of certain market share goals. But disregarding synergies to our existing product portfolio, the new agreement will initially have a limited financial impact for ALK, but the agreement has the potential to become an important step in strengthening ALK's prescription-based business in the U.S. Now with this, I'll hand it over to you, Claus, and the full year outlook on Slide 10.
Claus Solje: Thanks, Peter. We maintain the full year outlook with increased confidence despite unrest and managing trade wars that impose some macroeconomic uncertainties into the equation. However, even in a bad case scenario where medicine export and import to and from the U.S. could be subject to higher tariffs, we still expect such conditions to be manageable. Last year, 85% of our revenue in the U.S.A. came from products that are locally sourced, locally produced and locally sold. In principle, there might also be an exposure on the source material, which is imported from our Idaho site if EU imposes a reciprocal tariff. However, this is early in the value chain and the intercompany transfer price for this is relatively low. Nevertheless, we follow the situation closely, and we'll keep you updated on the potential impact of new tariffs and spillover effects on ALK. Therefore, we still project revenue to increase by 9% to 13% on growth across all sales regions and product lines. Global tablet sales are expected to grow by double-digit, driven by more patients, including more children and adolescents after the recent approvals for children use. Obviously, we still expect a reduced impact from pricing and rebate adjustments compared to last year, where these factors accounted for roughly half of tablet sales growth in Europe. Combined SCIT and SLIT-drop sales are projected to continue last year's growth trend, while growth in sales of other products is forecast to improve compared to last year. We expect neffy to start adding to grow from the second half year, including a minor contribution from the new co-promotion agreement in the U.S. Routine-wise, I would like to draw your attention to quarterly fluctuations, for example, caused by the timing of product shipments to China and Japan. In Q2, revenue growth is expected to soften a little bit compared to Q1 due to lower shipments to Japan. The EBIT margin is still expected to increase by 5 percentage points to around 25%. Our gross margin is projected to improve slightly. Higher revenue mix changes and efficiencies will drive the margin upwards, but improvements will be somewhat offset by higher input costs and the impact from neffy in the form of amortization of the milestone payments, sales royalties and the transfer price of devices. R&D expenses are expected to increase but remain at around 10% of the forecasted revenue. Sales, marketing and administration costs are now projected to increase slightly following the neffy co-promotion agreement in the U.S.A. No one-off costs for optimization initiatives are included in the guidance. To sum up, we expect 2025 to mark the seventh consecutive year of revenue growth and improved earnings, fully in line with ALK's long-term financial ambitions. With this, I would like to hand you back to Per and Slide 11.
Per Plotnikof: Thank you, Claus, and thank you, Peter. And we will now move into the Q&A session, and I kindly ask the operator to go ahead.
Operator: [Operator Instructions] The first question is from Thomas Bowers of SEB.
Thomas Bowers: Great, thank you very much. A couple of questions from my side here. So just kicking off with the comments you made on inventory levels for tablets in Europe. I understand you see around DKK 10 million for the first quarter here. But also to -- if my memory is correct, in Q4, you also had some stocking effects of around DKK 20 million mostly in Germany. So I'm just wondering, is this potentially just a reflection of wholesalers preparing for the pediatric launch here or are you just DKK 30 million above normalized levels? And then maybe in addition to that, are you seeing already any destocking here going into the plus 1 month here into the second quarter? And then my sort of second question is on neffy and U.S. collaboration. Just wondering whether you can give us any sort of indications on the threshold from where you start this 30% performance-based revenues less royalty. And maybe sort of expected timing or instead maybe give us -- given the current launch trajectory we see for neffy in the U.S., is that something we maybe even could we maybe see some performance revenue already in '26, for example? Thank you.
Peter Halling: Thanks, Thomas. For the first question, Claus, do you want to comment on the inventory levels and then I'll cover neffy.
Claus Solje: Yes. I can do that. Thanks, Thomas, for the question. You are correct that we are mentioning that there has been kind of a slightly impact on inventory levels in Q1. I think it's fair to underline the word slightly here, as you say yourself around probably DKK 10 million. So it's not something significant and it's not something that we are dwelling a lot with. There was also a bit in Q4, as you mentioned, but it's not something when we look into our inventory levels across the European market, especially, of course, on the tablets as we're alluding to here, we don't see any major risk related to that, especially on the full year outlook. You are right that we are actually building off for the ACARIZAX launch children in Europe. We have been doing that actually ever since we got the approval. And now also, of course, with the ITULAZAX, so the tree tablet there, we are also probably seeing the same thing. So there could be an element of that into it, and that's natural when you are launching in so many European markets for two so important launches for us for the long-term growth that this is what we are seeing. So right now, we are not concerned about the stocking effects we see. They're quite small and limited, and we believe a lot of this is actually preparing for the launches in the second half, especially.
Peter Halling: So Thomas, on the U.S., we're not commenting too much on the structures of the deal. But what I'll say is that it's obviously, from a revenue standpoint, going to be more backloaded in the sense that we need to build it up, get the sales force going and then we need to reach certain market share levels in order to get the kickback, if you wish. Doing that, we are getting -- as you correctly stated, we are getting basically a pay in terms of covering covered cost by ARS as part of it. So in that sense, we do get it. So that's also why we say, it's limited top line potential in '25 and also to some extent into '26. Bottom line, it's going to be slight, but with the performance, we expect to get a good coverage of our costs. So all in all, we think this is a really interesting deal. And maybe to put it in context, we are now reaching out to 9,000 pediatricians versus what you have today in terms of 6,000 allergists. So it's quite substantial and obviously, a big interesting perspective for AlK.
Thomas Bowers: So if I could just follow-up. So is this mostly related to potential upside for neffy revenue to ALK in the U.S.? Or is this maybe should we see this more as a preparation for the ACARIZAX launch in children to be better prepared for that?
Peter Halling: So it's going to be a revenue contributor. Do remember, it's a 4-year deal that we have. It's also expected if we perform to be an EBIT contributor. Again, it's back-end loaded. So do not expect major impact in '25-'26, but there will be a bit on both ends. We are doing this primarily because it has strong strategic relevance for ALK for three reasons. One is we will learn around neffy, which is important for our global effort, but we will also help ARS in the U.S. progress their agenda, which we see as beneficial to ALK as well. We see it as a very good segue for our salespeople to also bring out tablets. And we do that in an accelerated manner given that we're investing in up to 60 salespeople in the U.S. And then thirdly, it's a great opportunity for us to also prepare and get scaled up prior to the peanut launch that we expect towards '29. So all in all, it's kind of more of a strategic initiative rather than a revenue and cost driver. And hence, it's also why we are looking at a 4-year deal to start with, and then we take it from there. So hopefully, that covered.
Operator: The next question is from Benjamin Jackson of Jefferies.
Benjamin Jackson: Great. Thank you, guys, for the question. Just two along a similar line for me, please. Firstly, I appreciate the comments that you provided around the tablet initiation season, but I wondered if you could add any more color around the European tablets, how that has performed versus your original expectations and commentary on prior calls. But also, I think previously, you have noted some discrepancies between the different tablets in those initiations, whether you could give us an update on that, too. And then secondly, I appreciate the color and the comments around pricing for this year. But is there any incremental thoughts that you can provide to us when you look to the European pricing landscape for the rest of the year, whether there are any new flags or interesting developments that you'd want to bring to surface?
Peter Halling: Thanks, Benjamin. I'll start out commenting on the tablets and then Claus will comment on the pricing question. So basically, what we've seen on the tablet initiation season is what we described earlier on also in previous calls. Last year, we knew and saw that the tree pollen was a little lower than normal, grass more or less normal. And then we've seen strong growth on house dust mites. This also pertains obviously to the launch of our products. We still see that picture being confirmed. So it's pretty much linked to what we also stated in our guidance. We also see the initiations as being solid in the first quarter and into Q4. So all in all, good and in line with the expectations, especially and as we also stated during the call here, we've been pleased with what we're seeing on the children indications and the initiations there that has been slightly higher than what we expected. Do remember when I state this that this is also early. So there's a little bit of way to go, but it's very encouraging in terms of what we see that, that is up. So that's also the discrepancy between other years where you have things a little bit the other way around, trees being up, et cetera. That being said, we hope that with the approval for children on tree tablets as well that, that's going to be a positive driver for us going forward. So I think that's what I can say on the initiation season. Think Claus, maybe on the price.
Claus Solje: Yes, I can do that. Hello, Benjamin. Pricing in Europe, you're right, last year was a bit of a special year for us. When you look at it we had several very positive impacts on the value component, you can say, both related to direct price increases on several of our products, the German rebate disappearing last year and helping us on the growth rates there and then also lesser impact from parallel trade. So many different parts adding to the overall growth picture of Europe. This year, we are more looking into, I would say, normal year where it's more driven by volume and patients. And then just to add to what Peter was saying, we are seeing the number of new patients above the 10%. This is what we minimum need to be able to deliver on the guidance, we have seen that. And especially now also with the children indication, number of new patients there, off to a good start. So it will more be a volume game in Europe this year than a value that helped us a lot last year. Looking at the prices overall in Europe, we believe that the impact is limited, both from a positive and a negative state. So hopefully, there will also be no negative surprises. That's at least not what we're expecting now. Of course, we are always constantly working on price increases in the individual markets and working on that. And if we succeed with some of those, we will, of course, come back to you. But overall impact on the pricing component in Europe this year will be low.
Operator: The next question is from Michael Novod of Nordea.
Michael Novod: Thank you very much, Michael from Nordea. A few questions as well. So starting with the assumption around sort of sales from the expansion of the children indications. So I think after Q4, you said, you had sort of included around DKK 50 million for this, but it also sounds that you are a bit more positive. So how is this tracking? I know, you haven't provided numbers, but how is this tracking towards sort of what you have included in your guidance? And then secondly, on Torii. So we saw Torii report around by far and large, 12% growth for the tablets and they're also around 12% growth for the full year, but they're also ramping up for the second half of the year, as you mentioned earlier in the call. So how is that sort of indicating potential upside should they have more capacity? Or is that already you believe, included in that guidance from Torii?
Peter Halling: Thanks, Michael. This is Peter. So on the sales side, I think for children and what we're seeing, I think it's premature to talk about where we'll end the year. I'll stick to what I said earlier on. We believe it's going to have a positive impact. We also stated during the last call that with neffy and the children indications, we expect that it will be less than 1% of the growth, and we stick to that also according to our guidance. Now obviously, that being said, if everything continues as is and what we've seen so far, then it's going to be positive. As I said, we had a good start. It's small numbers, and that's also why we need to see more before we get too excited about it, but we like what we see so far. So I think that's where we can talk about the upside, but still early days. When we talk about Torii, I think it's important to state that, yes, you're right about the numbers, the 12%. You're also right that they are ramping up on the cedar production facility. The reason why it's not having greater impact is also the harvesting of the pollen and processing of the cedar pollen in the facility. It needs to get up and running, et cetera, and it needs to prove. So I think what we communicated so far still stands. And then we'll have to see how it pans out once it's up and running. It's still not in full operations. We still expect that to be around Q3 that, that happens likely based on Torii's own points earlier in Q3, but let's see when that's up. And then they need to get the pollen in and then obviously work it out. So it's not going to be day one, we are seeing the impact of the facility, but there's going to be a ramp-up throughout the fall. And I think so far, it's in line with our expectations on that matter. Should it go faster, then obviously, we're more than happy to support Torii on that journey. So I hope that's covering.
Operator: The next question is from Sushila Hernandez from Lanschot Kempen. Please go ahead.
Sushila Hernandez: Yes, thank you for taking my questions. So for the house dust mite developed in children, you mentioned that the initial uptake exceeded expectations. Could you elaborate on which fronts and what are you hearing from the field? And also you've mentioned a strong balance sheet. So what is your appetite for licensing deals and partnerships? What would you say is the sweet spot for you?
Peter Halling: Thanks. I can cover the first -- I think I missed your second question. So if you can repeat that afterwards, that would be great. But on the house dust mite, just back to what I said, when we say it's exceeding expectations, it's basically the number of patients that the doctors have prescribed and also in terms of the number of doctors that we have seen initiating patients. So obviously, in our launch plans, we operated with a certain number. And then what we've seen is that that has been whether they've been waiting, initiating the patients or not. But we still believe that it's less negative in the sense that we've seen the acceleration overall. So we believe more patients have been initiated versus our own forecast. So all in all, we think it's a good start on this. So on the second one, I heard partnerships. Could you repeat the question?
Sushila Hernandez: Yes. So you've mentioned that you have a strong balance sheet. So what is your appetite for licensing deals and partnerships? What would you say is the sweet spot for you?
Peter Halling: So we are obviously getting ourselves in a better position. Strong cash flow has helped us bring down the debt, as Claus also talked about. We continue to have an interest in the business development area. We still want to strengthen our pipeline, and we are also looking at potential commercial assets should something be relevant in the areas that we have outlined in our strategy, meaning respiratory, food, anaphylaxis and then potential new areas such as urticaria. We continue to look for opportunities there. We are also very cognizant in terms of our financial guideline and our guidance there, meaning that we are clear that we want to deliver the 25% EBIT long term. So that's important to us. But we are continuing to look for opportunities that can further enhance our pipeline and our business overall. Claus, anything to add?
Claus Solje: No, I think it's a good point. You're right. And as you could see that we have now taken our debt to EBITDA down, and it's actually down to 0.2 due to the strong cash flow in Q1. And that means that we have that financial muscle, as Peter is alluding to. We are not afraid of our debt, and we have, for sure, balance sheet that we could add more into it, but we are also doing it in a balanced way. So meaning, yes, we would like to see what's out there. And if we find something, we have the financial muscle to do it, but we will not overdo it. So it will be a balanced way to do it, whether it's in commercial or in the balanced pipeline.
Operator: The next question is from Jesper Ilsoe of Carnegie.
Jesper Ilsoe: Thank you. I hope you can hear me. I can hear you. Excellent. Sorry for that. Just a question on the number of prescribers you mentioned in the report, the 1,000 prescribers. Perhaps you can just help us take that into perspective. So firstly, how material is this versus your initial expectations? And how large is it versus other prior launches either in the pediatric segment or in general in the adult segment with your tablets? And perhaps you can also help us split it in the number of subscribers in Europe, Canada and in the U.S. just to better understand this traction initially.
Peter Halling: Thanks, Jesper. In terms of the number, still early days. You have to remember the number of prescribers are obviously one number, but it's also the depth of the prescription, meaning the number they are actually -- the number of prescriptions each prescriber prescribes and that needs to increase further. While we like the number is that we have been operating without getting into details with a slightly lower number or -- a lower number in terms of the number we would have reached at this stage that would actually prescribe. On the depth side, it's pretty much in line with the expectations. What we expect is obviously that this increases substantially over the coming years. And putting it in perspective, just if you take a U.S. number on prescribers, you have 55,000 pediatricians and 6,500 allergists. So there's still room to go for. And do remember in the EU, when we talk about children, it's more than pediatricians and allergists that are prescribing to children as well. So there's still plenty of opportunities out there. So the number to put it and answer your question, is still low at this when we look at the overall potential, but it's definitely better than what we had expected at this stage. Now, in terms of the mix, we don't really talk about the mix yet, but do remember that we are mostly in the EU at this stage. So EU is the primary driver. That being said, with ODACTRA in the U.S., the first period here has been positive as well. So that's also good to see, but still coming from a low number. So I think that's the best answer I can provide on that one.
Operator: This concludes our...
Peter Halling: There do not seem to be any further questions. So before we end the call, I would just like to turn your attention to Slide #12 and direct your attention to the upcoming Q1 roadshow, which brings us to Copenhagen today, London, Paris, New York and Frankfurt. And we hope to see you at one of these events. And if you would like to meet with us, please reach out to me or to my colleague, Marine. As always, you're welcome to contact us if you have additional questions. And with this, we will end today's session, and we wish you all a good day. Thank you, and goodbye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.